Operator: Welcome to the TCBI Third Quarter 2016 Earnings Conference Call. [Operator Instructions]. I would now like to turn the conference over to Heather Worley, Director of Investor Relations. Please go ahead.
Heather Worley: Thank you for joining us for the Texas Capital Bancshares third quarter 2016 earnings conference call. I'm Heather Worley, Director of Investor Relations. Before we get started, please remember this call will include forward-looking statements that are based on our current expectations of future results or events. Forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from these statements. Our forward-looking statements are as of the date of this call and we do not obtain any obligation to update or revise them. Statements made on this call should be considered together with the cautionary statements and other information contained in today's earnings release, our most recent annual report on Form 10-K and subsequent filings with the SEC. With me on the call today are Keith Cargill, President and CEO and Peter Bartholow, CFO and COO. After a few prepared remarks, our operator William will facilitate a Q&A session. At this time will turn the call over to Keith, who will begin on slide 3 of the webcast.
Keith Cargill: Thank you, Heather. My name is Keith Cargill, President and CEO of Texas Capital Bancshares. After my opening comments on our quarterly results, Peter Bartholow will offer his view of our performance and I will close before opening the call for Q&A. Let's get started, as Heather said, with slide 3. Q3 2016 was a powerful earnings quarter, indeed. Despite our decision to provide a higher than planned provision of $22 million, our outstanding earnings power overcame the provision and delivered a strong 12% linked quarter entries and earnings per share and lifted ROE to 10.2% from the second quarter ROE of 9.65%. The provision of $22 million was approximately $6 million higher than the second quarter provision, primarily due to just under $6 million in new provision we judged necessary after receiving the SNC exam results in early October. Despite the SNC results coming in October, we chose to include the $6 million in additional provision in our third quarter financials. Most of the $6 million of incremental provision came from an unanticipated interpretation of the revised energy loan classification guidelines by the OCC. The significant lift in linked quarter earnings for Q3 primarily came from solid growth in average LHI loans, traditional and mortgage finance loans, MCA, growth consistent with guidance and related non-interest income from mortgage finance and syndications. Also, non- interest expense growth in the quarter was only 1% for Q2, even though we continue building out MCA and Private Wealth Advisors. Also the significant business ramp in 2016 of SBA, franchise finance and asset-based lending continues. Finally, the third quarter launch of a new business, public finance, will further contribute to lifting ROE and diversifying our revenue stream and C&I loan portfolio. On slide 4, we provide an update on our energy portfolio. Outstanding energy loans remained static at $1.1 billion in Q3 versus Q2. The allocated loan loss reserve to the energy portfolio at $65 million or approximately 6% of energy loans. Increased by $6.5 million, net of the $1.7 million in charge-offs during Q3. Non-accruals reached $150 million for a $25 million increase from Q2. Criticized energy loans moved to 25% versus 22% since Q2, remaining the lowest among peer energy banks today. We do remain conservative in choosing to add the energy reserves net of charge-offs in the third quarter. And believe it is too early to declare an end to this long down-cycle until we see energy prices stabilize at recent higher prices. We're optimistic there will come a time to back off on maintaining a stronger reserve as we have today. We hope our conservatism proves to be just that and if so, we will enjoy more relief than others on lower provisions of the future. Slide 5 summarizes are Houston market risk real estate for Q3. While multi-family outstandings declined, overall CRE fundings on early 2015 and 2014 commitments increased. Importantly, the portfolio remains high quality with only $8.5 million of the over $800 million in special mention and $159,000 in substandard loans with no NPAs. Slide 6, the picks are most recent Q3 geographic diversification by total loans and deposits. As you can see, both loans and deposits are greater in our national businesses than our Texas market. When adjusting for Texas clients within our national businesses, our loans and deposits are closer to a 50-50 Texas versus national geographic mix. We also show in the upper right-hand quadrant, the most recent July unemployment rates for our five cities for four MSAs where we operate. Despite the challenges Houston has encountered with the down-cycle and energy prices, each of the remaining urban markets in which we operate in Texas remain quite strong in economic growth and modest unemployment. Now, I will hand the baton to Peter for his review.
Peter Bartholow: Thank you, Keith. Keith noted the Company produced record net income of $42.7 million and EPS of $0.87. Reflecting an EPS of 11.5% and 16%, respectively, compared to Q2 2016 and Q3 2015. Net revenue increased by 7.3% linked quarter and 20% from the year-ago quarter. Reflecting $9.7 million increase or 6% growth in net interest income and a 20% growth in non-interest income, again, as Keith mentioned, principally on the strength of mortgage operations, including MCA. Keith has addressed provision increased from $16 million in Q2 to $22 million in Q3. This did represent a change from previous guidance due primarily to the result of the SNC exam results received in October. Growth in traditional LHI and total mortgage financed balances, including MCA, represented meaningful improvements in market position relative to peers. MCA made a positive contribution in Q3 and is on track and building average balances provided in previous guidance. Main deposits on an average basis grew 14% and total deposits increased 6%. Growth in deposits contributed to the 12% growth in liquidity assets. As Keith mentioned, loan growth was very good and consistent with guidance in Q3, compared to Q2. Traditional LHI balances grew 2.6% in Q2 or 11% year-over-year. Total mortgage finance activity, warehouse and MCA, combine to grow a total of $520 million. Slide 7, the NIM review, as adjusted for growth in liquidity assets. NIM increased by 2 bps. The yield in traditional health and investment remain very good, with no significant change from benefit in fees. Yields in mortgage finance were flat and represented a larger portion of total loans at yields below traditional LHI balances. Strong growth in liquidity assets to 17% of earning assets reduced NIM by six bps, with a minor benefit to net interest income. Now, the total impact of over 50 basis points to NIM without an adverse [indiscernible] impact on net interest income. Yield trends have actually remain favorably, especially given the magnitude of growth, the change in portfolio composition and mortgage finance and the competitive environment that still is active in our state. On slide 8, as noted we experienced growth of 3% in average DHLI balances, representing very solid growth and consistent with guidance. TCB maintains a very strong position on mortgage finance businesses. This [indiscernible] sold in this quarter increased to $1 billion at quarter-end and averaged $880 million for the quarter. Outstanding commitment of $1.5 billion at the end of the quarter, compared to $1.2 billion. It's important to note that we're effectively managing much larger mortgage finance portfolios. Over $6 billion in total loans while limiting concentration on the balance sheet and improving our capital efficiency. Growth and deposits, on slide 9, was again exceptional during the quarter with over $1 billion increase in average DDA balances. Funding costs in terms of rate were down slightly due to the growth in DDA and the aggregate cost of deposits with low branch strategy provides very favorable spreads even without an increase in short term rates. The growth in traditional held for investment, mortgage finance loans and DDA balances, the degree of asset sensitivity increased in Q3. Slide 10 puts respect to comments Keith made about non-interest expense. We grew less than 1%. [indiscernible] improved especially with the core bank, excluding the impact of MCA and the expansion of other businesses since 2015, expense trends are more favorable, actually, than the 1% linked quarter growth shown. We experienced meaningful improvements in operating leverage, with the rate of growth in net revenue exceeding that of the growth in non-interest expense. All this produced an efficiency ratio of just under 52%, build-out expense relates to the expansion of key business initiatives will be more significant in Q4. We also expect the MCA contribution to increase and we could benefit from strength in Q4 activity from traditional health and investment lending, offset potentially by seasonal weaknesses in warehouse lending activities. Slide 11, we saw an improvement in both ROA and ROE, better non-interest expense trends, even with substantial increase in the provision. We continue to believe our results demonstrate the opportunity for significant improvement in coming quarters. Turning to slide 12, our outlook for the remainder of 2016. Traditional held for investment loans is unchanged. We saw limited growth going into Q4 from Q3 which in Q3 does demonstrate historically some seasonal weakness. Before what can be strength over the course of Q4, continuation of relatively high level of general paydown activity experienced in 2016. Growth in mortgage finance loan balances in Q3 is consistent with expectation. Seasonal trends confirms previous guidance. We were successful in managing portfolio concentration. MCA will be a bigger contributor in Q4 with average balances expected to exceed $300 million for the year, compared to a year-to-date average of $237 million. There is no way reliably to predict the extent to which the MCA growth could offset any weakness in warehouse lending activity in the fourth quarter. We have no change in the guidance on total deposits, but the continued improvement in DDA composition is obviously beneficial. And average balance for liquidity assets have grown substantially and are likely to continue at least a modest pace of growth from here. The outlook for core NIM has increased, reflecting the fact the year-to-date performance has exceeded the guidance previously given. So, before the impact of liquidity assets, we're now at $3.60 to $3.70 and that Q3 we were at $3.68 and flat with Q2. We did see a minor benefit of the increase in LIBOR, offsetting the growth and the effect of mortgage finance portfolios. Most of that benefit occurred in the last half of the third quarter. Reconfirming guidance for reported NIM with a range of 3% to 3.2% remains wide due to the high variability in the level of liquidity assets. The outlook for net revenue NIE efficiency ratio are reconfirmed. The ratio just under 52% increased -- excuse me, in Q3. The reversal of the MCA loss and a reduction of expense growth improved operating leverage, as previously noted. Core bank before the effect of MCA and other initiatives was performing extremely well. The first full quarter of other new business initiatives will have an impact on Q4 in noninterest income. Even with some increase in Q4 efficiency ratio, the guidance of low to mid 50s should hold. Provision in Q3 reflects the effect of the SNC exam as Keith mentioned. Received in early October has been the principal difference in the increase in guidance to the mid- 80s range. Keith?
Keith Cargill: Thank you, Peter. Please turn to slide 13. Asset quality remains sound, despite the continuing challenge of NPAs largely concentrated in energy loans. Of the total non performing assets of $188 million, $150 million are energy loans, up $25 million since Q2. Our hope and expectation is that we will resolve overall energy NPAs more favorably than we currently reserved position. But in the meantime, we accept the more conservative move to reserve for the new SNC results. Net charge-offs in Q3 were $7.4 million compared to $12 million in Q2 and $2.3 million in Q3 2015. Nonperforming loan ratio is at a manageable 0.96%. I will close with slide 14. The primary story in Q3, for my view, is about the core earning power Texas Capital is building. Even with the SNC exam news and related incremental provision, growth in average loans, demand deposits and non-interest income were extraordinary, while non interest expense growth was much lower, resulting in the 12% linked quarter entries in earnings per share. The success we have achieved in increasing our participations in mortgage finance moderated the surge we always experience in month-end fundings. But the offsetting high growth in our MCA fundings continues to improve our risk-based capital efficiency and lifted the MCA profit run rate each month in Q3. It remains possible, although challenging, that the trajectory and profit run rate in MCA might offset all or certainly most, of the start-up loss we experienced in this new business for the first half of 2016. The usual seasonal headwinds from mortgage finance in Q4 will present a challenge but we believe the offsetting growth in MCA will help us continue to deliver healthy core earnings ahead. We expect the energy loan migration to diminish in Q4 and believe we're well reserved for losses as they materialize. Due to the up-tick in provision this quarter, we're changing guidance for full-year 2016 to the mid $80 million level from the mid $70 million level, as Peter mentioned. We also are increasing our guidance on net interest margin to $3.60 to $3.70 excluding the effect of liquidity assets, a positive move. Each of the four new lines of business are progressing through their earlier rampup stage with staff ads, technology and prospecting. We're pleased with the progress we're making in lifting ROE from existing businesses, with efficiency initiatives and technology integration. The improved non-interest income contributions from the four new lines of business, as well as MCA and Private Wealth Advisors offer higher ROE risk adjusted returns than most of our existing businesses. They will help us drive a higher sustainable ROE, overall, as these businesses developed through 2017 and beyond. I will now ask William to open up our call for Q&A.
Operator: [Operator Instructions]. Our first questioner today is Brad Milsap from Sandler O'Neill. Please go ahead, sir.
Brad Milsap: Peter, just curious if you look guys could maybe expand a little bit more on the deposit growth this quarter, particularly the DDA growth? Kind of curious if you could talk a little bit more, maybe some of the organs of that. Howe much of it to be just related to the mortgage business or is it more diversified? Just trying to get a sense of where the liquidity can go particularly in that area?
Keith Cargill: We have enjoyed really good growth in the mortgage finance organizations deposit contribution. MCA is now beginning to contribute in a more meaningful way. It is broader than that, we have very effective treasury management focus on a whole range of kinds of customers and for competitive reasons, we're not really prepared to isolate the individual components more than that.
Brad Milsap: Okay. And maybe one follow up. Keith, just on the loan growth this quarter, I appreciate all of the guidance. Just curious, what you saw this quarter in terms of the -- I know you talked some about paydowns, curious to how much you guys were sort of pulling back versus demand in the market? Any additions color you have around what you saw with what loan growth, maybe not been quite as strong as you'd seen in previous quarters but still very healthy?
Keith Cargill: It was some natural paydowns that are occurring with some of our energy, Brad. Some of these pubs, these proven undeveloped leases that are plans have that we gave virtually no value to in our loans have become quite valuable again, at the Permian Basin, especially. We actually saw a very couple of very large payoffs as energy book from the sale of those pods. We also had a couple of private equity clients that we had financed portfolio companies and they sold as companies. I don't see anything systemic going on, except, perhaps, the pud sales. We got a plus I do it to in that the values are coming back in the market and we did pick up a couple of very nice new energy credit's. It is really we'll structure and, again, the markets different today, certainly, that it's been in two or three years. We're very pleased with some of the new opportunities we're picking up, but they were quite as large as the paydowns that occurred from the pud sales.
Operator: Our next questioner today is Ebrahim Poonawala, Bank of America Merrill Lynch. Please go ahead.
Ebrahim Poonawala: Just a follow-up in terms of, you mentioned the seasonal spend in traditional LHI going into the fourth quarter. I'm wondering if you could remind us, what bucket that seasonal spend we should expect it? Also, Keith, last quarter you talked about business as being a little bit cautious, sort of looking into the back-half of the year. What is the sentiment like a borrowing demand? Are these signs of maybe picking up, going into year-end into 1Q 17?
Keith Cargill: It's almost like our clients in the last 30, 45 days, have really gone quiet with initiatives that would be outside the normal, to 90, working capital borrowing that they do, third through fourth quarter. And I don't know if this election is having any effect but it may be. There's just a lot of angst about what to do next. I do think some of this will kick back in, perhaps, in the fourth quarter, but we're not seeing a big build in pipeline normally would, C&I, at the end of the third quarter. The good news, though, that I think will really help us quite a bit but it's early are these new businesses that we launched in 16 and the new initiatives. Public finance is a brand-new initiative -- brand-new business. We picked up a great team of the people. And that literally just launched during the third quarter and we're excited about what that will do for us. And that would take some period of time before they get the bookings and are actually on a profitable run rate, but all indications are is that will be profitable and a very, very quick payback on the negative cash flow to start that business up. We think that might happen within a couple of quarters, if not even center. So, we're very excited about that new business we just launched in the third quarter and that might give us some outstandings we haven't had in the past. And of course, as you know, SBA, franchise finance and also are asset-based lending major ramp ups, much smaller, more modest businesses that we've had. We had a nice book of business does have a nice book of business with franchise finance but we brought in some additional real outstanding talent to lead an effort so that we can drive this throughout all of our five cities, this opportunity in this niche. And also over time, take it nationwide, as a nationwide foot print business. Similarly with asset-based lending, we picked up that fabulous team back late in the first quarter, that we brought over from JPM. They are just doing a great job and they've got everything synced up, the depth on policies, technology and so on. So, we see some fundings that are going to happen here this fourth quarter in aggregate. So, all in all, we don't have the pipeline that we might have in some years because of some of this angst with the client base and a couple of the Zond portfolio payoffs and certainly, as I mentioned, some of the energy paydowns that are occurring. But we feel pretty optimistic that it's going to come on later in the quarter.
Ebrahim Poonawala: Understood. And just, I think separately moving to as you mentioned some of the businesses, when you think about sort of the operating leverage from the investments we've made and 16 and even in 2015, should we expect that the efficiency ratio as being in that the to 4%, 35% range next is that sort of steadily going lower even if we don't do the left from higher interest rates because of the kind of mix of both going forward? Or is that taking it a bit too far?
Keith Cargill: I think these are going to be very attractive businesses. There just still in the early stage to get the revenue built out, but they're not going to have any meaningful significant incremental costs, so, the operating leverage should be excellent in each of these and it's not a situation at all like MCA, as an example, where it's quarter-after quarter to really ramp the staff, the technology and so on. These are much quicker starts and should be much quicker payback. Now, we could see in fourth quarter and first quarter, some of that build-out, again, cause a little bit of a lift in the efficiency ratio than it was this quarter. I think Peter alluded to that. But I think as we get into 17, we're going to get a nice tick-up in efficiency and overall productivity and profits because of these businesses.
Operator: Our next questioner today is Michael Rose from Raymond James. Please go ahead.
Michael Rose: Just circling back to energy, obvious to understand the sniff results but as I look at your portfolio its production based, obviously oil has jumped out over 50. If it stays near this level you guys have a pretty healthy energy reserve given how low your classified levels are at this point. Could we expect to see if oil stays near these levels, much lower level provisioning that's a quick.
Keith Cargill: Well that certainly would be the case on energy portfolio. We don't see any major class [ph] on the horizon otherwise, but were just conservative, as you know. The way we approach credit has always been, be careful on quality, but also be cautious when it comes to unknowns in the selection, but also the fact we're into our eighth year of a recovery, I know we've been early, relative too other base talking about things like pulling back on CRE early and multi-family even earlier than that. And then also our concerns about what a recession comes. Statistically, each quarter that goes by we get a little bit closer to that 10-year economic recovery wall, if you will. Maybe this will be the first time ever we will have a recovery longer than 10 years but we're not backing on it. We're going to go with the baseball statistics and we think we when more doing that. And we will be conservative and growth in these areas and also when are reserving a provisioning. But I do think, the point is right on and we believe we're very, very reserved on energy and we aren't seeing the same kind of migration challenges as we move into the fourth quarter. So, all other things holding up well, I think, we will tell you more in January about our guidance on provisioning next year.
Michael Rose: It just seems the reserve kind of 140 basis points the LHI, that's kind of where it was back in '02, '03. I know it's long time ago, your different bank now much bigger, but it just seems like if general credit holds, there could be room for some fungibility and the provision as we move forward.
Keith Cargill: Michael, relative too other banks, we think you are right. We just don't want to be more specific than that.
Michael Rose: Fair enough. And as a follow up, seems like a obviously at least in a period end basis, the MCA business did really well. As we think about the MCA business into 17, could this be -- you may not necessarily want to give guidance but could this be a billion-dollar plus on an average balance business in the next couple of years?
Keith Cargill: As I mentioned, in January, we're going to keep you in suspense until January, but we believe it should potentially be that kind of business.
Peter Bartholow: Obviously, Michael, the pace of growth is improving. We're signing a lot of new customers in order to get to the $300 million plus or the full-year, it certainly implies very strong level of activity in Q4. Without getting specific -- it's also important that at quarter-end it reached just under 12% of total mortgage financed loans and that's with the minor surge, the managed minor surge that happened in the warehouse. So, it is demonstrating already be capital efficient see that we talked about and that will increase in 2017.
Keith Cargill: It should be better than a billion on average, we just don't want to get to specific. We have more visibility. It's such a high growth business and I do think we can give you much better guidance Internet.
Michael Rose: Understood and one final one for me just on the expense line-item summary. Obviously stock was up prematurely for the quarter. What kind of impacted that have a compensation costs? As it had historically, I think you remind us of the sensitivity. Thanks.
Peter Bartholow: That by itself was several hundred thousand dollars, but there were some offsets. We have to estimate at the end of every quarter, where we're relative to performance metrics that fund. The net of that was actually a very small benefit.
Keith Cargill: Our incentives are driven more by our profits and orally relative to our plans and we want to be at really aligned on incentive comp with what shareholders want, profits and ROE.
Operator: Our next questioner is Brady Gailey from KBW. Please go ahead.
Brady Gailey: Keith, maybe just expand a little bit on the extra 6 million provision related to the rate into the [indiscernible] exam. I think I heard you say something about unanticipated interpretation of the SNIC [ph] exam. Was the $6 million related to your typical SNIC [ph] results? Or was there something special going on here?
Keith Cargill: It really relates too and I don't want to get into too much detail, Brady, the new energy guidance that we were given on how energy credit were going to be classified and going forward and there are certain aspects to that guidance that we believe we're intended, initially, to be not anyone that was trigger, any one of those bullets under the guidelines that would be triggered that would automatically cause a new classification issue. And we happened to have a credit, meaningful credit and some others as well that were syndication SNIC [ph] credit where it appears to us that we trip one of those bullets and that, globally, as you look at the credit as was suggested in the guidance, there are some very strong that against that will cause it do not have required a downgrade. Namely, very low advance rates on net present values on the reserves, very extensive long hedging in place, etcetera. But it appears that evolving on how they're going to interpret those new guidelines and were just going to have to get up to speed and have some conversation and better understand that. But we really didn't have time to go down that path before earnings than we thought it better to be conservative and go ahead and address an incremental reserve.
Brady Gailey: Okay, I got you. Your ticking the $6 million provision to get ahead of it. Were those classified actually -- are those potentially classified moved too classified from 3Q? That's a little help and you will figure it out later?
Keith Cargill: It's a mixed bag. We really do think it's better to recognize it now and not wait until the fourth quarter. Since we got the early news, we're in closed out [indiscernible] like some base that reported earlier. We decided to address it in the third quarter.
Brady Gailey: All right and then, Peter, LIBOR was up about one month and three month were up a little bit. I know you guys are heavily tied, especially one month LIBOR. Did that have any impact on the margin in 3Q?
Peter Bartholow: As it did, the most of it happened and as I mentioned in the last half of the quarter. The cycle through didn't really hit as much until September. So the run rate for the end of the quarter was better than the quarterly average.
Brady Gailey: Okay. And then lastly and you update us, where are you guys on CRE to capital? What's the ratio?
Peter Bartholow: It's well under the 300% guideline, Brady.
Operator: Our next question is from Jennifer Demba with SunTrust. Please go ahead.
Jennifer Demba: Can you talk about what you are expecting in terms of mortgage finance? You kind of said you think the MCA is going to offset some of the seasonal decline in mortgage warehouse. Can you give us a little more color on that in what you are expecting in terms of--
Heather Worley: We're having trouble hearing you --
Keith Cargill: Jennifer, we just are as expect seasonal weakness in the warehouse. Rates remained low, so we can't -- there's enough activity. As I said, we've laid off a billion dollars in loan anticipations. As volumes come down, they come down and that component as well so we get a little bit of a buffer, but it's just too early to predict what the average will be over the course of the fourth quarter. On MCA, that volume is still building. What we don't know is whether the linked quarter changed there will be sufficient to cover the lake quarter reduction in the warehouse.
Peter Bartholow: Fourth quarter always going to at that reduction, Jennifer, as you know, in normal years, unless there's an outsize refi bubble which we've had. Last year, became more traditional seasonality and even though it affects to some degree the MCA business, it's so modest as of the ramp. It's an early-stage growth business. We're confident MCA will grow nicely in the fourth despite the seasonality, but we just never know on mortgage finance how much of an effect -- I will tell you the pick up recently toward the end of the third quarter on rates is not helping applications. We know there's going to be a little headwind there to, not just seasonality on purchases, but also rates picking up just a bit. That takes some of the more modest refi we have relative to the base but it takes some of that volume out of the equation as well.
Keith Cargill: We also always have pending applications and commitments to new customers that reflect further changes in market share. It's just too early to predict how those will affect the quarter's volume.
Peter Bartholow: But we do have a very nice pipeline, as Peter suggested, new clients that want to on board with us.
Keith Cargill: In both categories.
Peter Bartholow: In both categories. I wish we could be more precise.
Jennifer Demba: Separate question, how is the hiring pipeline look? Six months, nine months ago?
Keith Cargill: The hiring pipeline looks very, very good. We've added some outstanding talents. We don't have as much need of that we see visibility wise as we had the first half of the year through the third quarter. We added several people in the third quarter. In fact, we added, I guess, nine RMs and two regional execs when we brought on our new regional Chairman and Regional President and our Fort Worth market. We're very excited them joining us. But, we also had a couple of exits, some net. We had about six RMs added and then the trend in new regional execs as well. Going forward, the pipeline looks great. There are always people that are just so outstanding, Jennifer, we wanted to find a way, but we don't have the need even in the new business quite the level of pace. We got a lot of it positions build-out in Private Wealth Advisors. Several of those it in the third quarter. One of the reasons Peter mentioned this build-out continues and that we will have a full quarter of run rate on some of the build-out is our wealth advisors, some of the people we added here. We're so pleased with the talent we're bringing on. And of course, as I mentioned earlier, all three of our public financed new business, all three public finance individuals joined us in the third quarter and it wasn't at the very beginning, so that would be a full impact in the fourth. Yes, the talent pipeline which is so critical to our organic growth model has never been better.
Operator: Our next questioner today is Scott Valentin from Compass Point. Please go ahead.
Scott Valentin: Just with regard to capital levels I think you finished the quarter about 7.5% TC ratio. Just wondering, obviously that reflects the mortgage finance business but just wondering how you think about capital going forward?
Keith Cargill: Scott, we're feeling very good about it. We been successful as commented on the improvement in the surge in the quarter and the levels of quarter mortgage assets. The shift that's coming in MCA is a net positive. We have an improved our early. We built a very strong reserve position relative to what we think is the actual exposure to loss. We just feel like things are properly structured. Much of the lower ratios that we have in some others might reflects the fact that we don't have securities. We have a mortgage finance warehouse word folio that demonstrates and arguably much better risk. There is six and profitability characteristics in a portfolio. So, adjusting for the effects of the 100% risk rate in that asset class, were actually much stronger and then in operating cents and a way that protects shareholders in the event of economic weaknesses.
Peter Bartholow: To add to, our new SBA ramp-up, as well as our public finance business and then, file, the ramp-up of our private wealth advisor mortgage business, all of those have much lower risk-based capital requirement than our typical see a nice for traditional mortgage warehouse, so it's not only MCA that's growing very strongly that a much more efficient capital structure, but these new businesses and ramped businesses, also, most of them offer an advantage in risk-based capital.
Scott Valentin: Thanks. One follow-up question just on credit quality. At the based on the presentation of $166 million of nonaccrual loans, another $50 million roughly is $100 million, I guess?
Peter Bartholow: That's right.
Scott Valentin: Energy the credit is very strong?
Keith Cargill: It really is. I mean, if you look at us with the kind of reserve we have against energy, with the classified criticized number of only 25% relative to other banks in the energy category and again, a 6% reserve allocated to energy, that's solid, so we've got great solar balance sheet relative to energy. And then you look at our nonperforming ex-energy, we're in very good shape.
Peter Bartholow: We also have an unfunded commitment level that is low, especially with respect to the amount to which we be exposed to a criticized if funded against the unfunded commitments. And it remains less than $10 million at the end of the quarter, actually not changed in three quarters.
Operator: Our next questioner is John Moran from Macquarie. Please go ahead.
John Moran: Peter, the $10 million that you just referenced, that's classified, right?
Peter Bartholow: It's less the amount that would be criticized if drawn under unfunded commitments. Much of the exposure in the industry is actually to the unfunded commitments and hours are lower than industry standards or averages and the amount that we'd be required to fund our agreements where there's not a default that would actually be criticized when funded is less than $10 million.
John Moran: Okay, I got it. Thank you for that. Two other ticky-tack ones for you. One is just on the warehouse. If I plug it into the guidance, I've got a really sort of real the average balances in 4Q, like much worse than what you guys would see in terms of normal seasonality. And I know it's running kind of high because of refi, we're into a little bit of a re- five whatever and things are slowing down in the quarter. Could you remind us what was purchased versus refi? And is it really going to come down that hard? Perhaps down 20% in 4Q?
Peter Bartholow: Yes. The purchase was over 60% and the refi was in the high 30s.
Keith Cargill: Average during the quarter.
John Moran: Okay and then is my math right? It has to come down almost 20% to hit the low single-digit percentage growth rates is that what you are seeing so far helps, I know it's early on.
Peter Bartholow: We haven't retested that number the way you describe it but remember the volumes were quite low in the first quarter. We're talking about full-year average to full-year average.
John Moran: Got it. And the only other kind of housekeeping one for me was just if you had [indiscernible] as Peter said, the SNIC [ph] balances and what you guys agent versus non- agent.
Peter Bartholow: We're right at $2 billion on a SNIC [ph] portfolio and we agented it at about 500 million, very close to the 25% and that was up a little, it's a mix of agent.
Operator: [Operator Instructions]. Our next questioner is Peter Winter from Wedbush Securities. Please go ahead, sir.
Peter Winter : Question on, if I look at the reserve for long ratio, given that is at a good level and the current outlook is pretty good with the stability in energy, I'm just wondering, going forward, would you let that ratio trend a little bit lower? Or is it the idea to think about that racial commensurate with longer?
Keith Cargill: We're going to always the providing against loan growth and because we're a much higher gross company than our peers, you do have the provision that comes with our business model and our ability to grow, Peter. But, that ratios just going to be a function of how we resolve these energy credits to a degree and we're confident and hopeful that we will be able to resolve them at levels, hopefully, not only below but well below what we have reserve today. But the uncertainty about a commodity price stability issue is such to us that we want to see that the price is in the 50s and in the range of $3 on gas stay there for a period of time before we begin to get more confident than we think we should this early into the process being elevated. So, we want to get past November and see a few more months of stable prices in the 50s on oil and around $3 on gas before we're going to think much about adjusting reserves for other than just offsetting losses that are going to be realized and again, losses that we think will be more modest than reserves we have set aside at this time. I'm not sure I can help you a lot with your analytics on that, but it's a timing thing. With most of our issues in the energy portfolio, that dynamics going to have to play out over the next two or three quarters before you have as much visibility on reserve level as maybe your trying to accomplish there.
Peter Winter: Just a follow up, the fee income came in much better than what I was expecting and, obviously, there's volatility between quarters. I'm just wondering, is some of this level a good run rate going forward? Like for example, service charge a deposit are having nice growth and the brokered loan fees as you expand the mortgage business. I'm just wondering is this kind of a good level 2 use going forward?
Keith Cargill: Yes, we think it's a building and growing category for us. And that's been a strategic emphasis the last year and I have is as we build-out these businesses, the new ones and the ones that we're really ramping, that they be businesses, Peter, that offer a higher are within our average overall of our existing businesses. And that's certainly true in MCA, as was the case with the fee income component and traditional mortgage finance. But now MCA is even more capital efficient than traditional mortgage finance. We also are seeing a pickup as we begin to bring on board some of the Private Wealth Advisors. That's going to be more modest. But again over the next two or three years, that's going to be an increasing left and were optimistic that our Treasury fee income is going to continue to be an increasing number as well.
Peter Winter: My last question, just, can you remind us with the December rate increased last year, how much that benefited the margin in the first quarter tax and if we do get the December rate hike, with the benefit to be for the first quarter margin and 17?
Peter Bartholow: Peter, just over $4 million.
Peter Winter: And would you expect kind of a similar level with this December rate hike? If we got it?
Peter Bartholow: Similar, the possibly a little larger. It's a little uncertain and so much depends on timing of where we're and what moves and how far LIBOR moves either in tandem or in hand. We already have had some of that move already and may not give a full additional moving LIBOR for.
Keith Cargill: But we do have lower floors.
Peter Bartholow: We have lower levels of loans that are still subject to floors, that number has fallen from a year ago about $3 billion to $2 billion today, a little over $2 billion, that's down about $300 million since June 30.
Operator: This will conclude our question-and-answer session. I would now like to turn the conference back over to Keith Cargill, President and CEO, for any closing remarks.
Keith Cargill: I want to thank each of you for your time and interest in our Company. We're very, very pleased about the strong effort. So many of our people have made across the Company and I want to recognize all of them. So many of our people that make it happen internally for our clients facing personnel and the expertise they bring to bear really enables us to deliver special value to the market and continues to build our reputation, enabling us to object to better and better clients and also increasingly better talent. I just want to thank all of our people for their contribution they make. They are each very important to our success and we thank each of you for listening in and following our Company.
Operator: This concludes our call today. Should you have any follow-up questions, please call Heather Worley at 214-932-6646 or e-mail her at heather.worley@texascapitalbank.com. Thank you all for attending today's presentation. You may now disconnect your lines.